Operator: Welcome to the iRobot Second Quarter 2024 Financial Results Conference Call. At this time, all participants have been placed in a listen-only mode. A question-and-answer session will follow the company's prepared remarks. [Operator Instructions] I would now like to turn the call over to David Calusdian of the company's Investor Relations firm, Sharon Merrill Advisors. Please go ahead.
David Calusdian : Thank you, Jamie, and good morning, everyone. Joining me on today's call are Gary Cohen, iRobot's CEO, and Julie Zeiler, Executive Vice President and CFO. At the outset, I would like to remind everyone that today's discussion will include forward-looking statements regarding future events and our future financial performance. These statements reflect our views as of today only and should not be considered as representing our views as of any subsequent date. These statements are subject to risks and uncertainties that could cause actual results to differ materially from expectations reflected in the forward-looking statements. A discussion of these risk factors is fully detailed under the caption, Risk Factors in our Filings with the SEC. Related to our financial disclosures during this conference call, we will reference certain non-GAAP financial measures as defined by SEC Regulation G, including non-GAAP gross margin, non-GAAP operating expenses, non-GAAP research and development, non-GAAP sales and marketing, non-GAAP operating loss, and non-GAAP net loss per share. We believe that our non-GAAP financial results help provide additional transparency into iRobot's underlying operating performance and potential. Our definitions of these non-GAAP financial measures and reconciliation of each of these non-GAAP financial measures to the most directly comparable GAAP measure are provided in the earnings presentation included in the Q2 2024 earnings conference call event details, which is available on our website at www.irobot.com. Also, unless stated otherwise, our second quarter financial metrics that will be discussed on today's conference call, including the financial metrics provided in our outlook, will be on a non-GAAP basis only and all historical comparisons are with the second quarter of 2023. For today's call, our agenda is as follows. Gary will briefly cover the company's quarterly results, review important strategic milestones, and outline the company's expectations for the second half of the year. Julie will review iRobot's financial results and offer additional insights regarding the company's full year outlook. Gary will then provide closing remarks before we open the call for questions. With that, I will turn the call over to Gary and welcome him to [what is his] (ph) first earnings call as iRobot's new CEO.
Gary Cohen : Thank you, David, and good morning, everyone. Thank you for joining us today. It is a pleasure to speak to you on my first earnings call as iRobot’s CEO. I'm very excited to be here as we start a new chapter in iRobot’s history and build on the company's legacy of innovation. In my three months thus far at iRobot, I have had the opportunity to meet with our teams, major retailers, distributors, and key constituents around the globe. I've learned about what makes this a great company, and I've gained a deeper understanding of our capabilities, challenges, and opportunities. We're in the midst of a turnaround, and I am more confident than ever that we will be successful. For today's call, I will begin with an overview of my background and discuss why I decided to join iRobot. I will then provide highlights of our second quarter performance and outline our opportunities to position iRobot for a bright future. I will then turn the call over to Julie to review our financial results in more detail and to provide our outlook. Following our prepared remarks, we will open the call for Q&A. My passion is building brands, and I've had the opportunity to build iconic brands in many diverse categories of consumer goods. While I pride myself on marketing and innovation, I have significant experience in R&D and have run [Asia sourcing] (ph) and global operations. I directed businesses successfully through the pandemic and recent global supply challenges, and I have operated across all environments and stages of performance, from turnaround and crisis management to stabilization and growth. Over my career, I have architected and led the strategy, the organization, and operating platform that ultimately drove sustainable and profitable growth. I joined iRobot because it is an iconic brand that has a strong relationship with consumers and retail and distribution partners. In fact, even in turnaround, iRobot continues to be the leader in several markets. We have a culture of innovation that is evident in our passionate and talented employees. And I know that we can innovate our way to growth and value creation. I see incredible opportunities for this company. For the past 25 years, I have worked in leadership roles with consumer companies, many of which were turnarounds. I find it rewarding to enable positive change, while energizing teams to work together to leverage skill sets, adapt best practices, and implement strategic plans that provide the framework for consistent, profitable growth. When I worked on the Oral-B brand at Gillette, I inherited an empty pipeline and built an innovation engine that delivered dozens of new products in a five-year period. While at Playtex, I repositioned Banana Boat and Hawaiian Tropic and they became the fastest growing products at the company. And most recently at Qualitor, I built a talented US-based R&D team that designed and developed new product IP that was then sourced and manufactured in Asia, a similar model to what we are perfecting at iRobot. During the past three months, I have identified several inefficiencies within our business that I believe have hindered iRobot's ability to maximize the potential of our powerful technology, brand, and consumer appeal. We had a high-cost product line that is now in the process of being refreshed in order to enhance our competitiveness and improve our profitability. At the same time, we had an organizational structure with too many layers that was built for a much larger company and that slowed decision making. Additionally, the R&D model carried too much overhead in high-cost countries for too many non-core ideas. Our restructuring plan addresses all of these issues. Since I have joined, we have made several changes to our executive leadership team and reorganized the R&D to be better aligned with our vision of how to deliver new products. In fact, I am pleased to announce Jeff Engel has officially joined iRobot as President and Chief Operating Officer, reporting to me. Jeff has been with iRobot for seven months as our Chief Restructuring Officer and Advisor. He will be responsible for R&D, operations and supply chain and product management, and will continue his duties as CRO, since our work in this area is not completed. Jeff's willingness to join iRobot at this time and his faith in our turnaround speaks volumes to the company's growth prospects. And he has been instrumental in helping us deliver against our restructuring targets. Our second quarter results demonstrate that our restructuring plan is on track and delivering the expected results. We have made tough but appropriate decisions to achieve our planned operating expense and headcount reduction targets. We have also reduced inefficient marketing spend and improved our product margins via our new contract manufacturing strategy. One driver of this was the launch of our margin-accretive essentials product-line, which is gaining traction in many markets and is now the unit leader in Japan. Furthermore, we have continued to reduce our finished goods inventory and narrowed our operating losses despite incurring one-time charges. We also lessened our use of operating cash. While we are making progress, we recognize that turnarounds take time, and in the near-term, we will continue to operate in a dynamic operating environment. This is reflected in our revised 2024 outlook. Julie will discuss our Q3 and 2024 outlook shortly. As we navigate near-term headwinds, we remain confident in our ability to build on iRobot's legacy of innovation to advance our long-term growth initiatives. To that end, we have launched iRobot Elevate, which is a new strategy centered on improving our financial performance, increasing consumer focus to elevate our brand, bringing innovative products to market in an entirely new and more profitable way, continuing our operational and organization improvements, and developing and retaining our best talent. We are evaluating everything we do at iRobot to enhance our performance for the benefit of all stakeholders. Our restructuring is focused on cost savings and improving our gross margin and cashflow. Elevate is about growth. A big part of Elevate will be developing and commercializing new products. Last month we announced our smartest and best cleaning robot yet, the Roomba Combo 10 Max. This two-in-one robot vacuum and mop takes independent cleaning to a new level with more intelligence and our first multi-function AutoWash Dock. It is engineered to powerfully vacuum and mop multiple floor types while the dock automatically refills and recharges the robot, washes and drives the mopping pad, empties debris and self-cleans. The Roomba Combo 10 Max will be followed by another new product in Q4 2024, and then an entire revamp of our 2025 lineup, including an unprecedented number of new product launches across our good, better and best price points. We are also announcing the creation of iRobot Labs, which will serve as the company's innovation center. iRobot Labs is a global initiative and will harness the strength of our internal product and software engineering talent and selected partners around the world. The team will focus on reducing our time to market and securing the technological leadership that our company is known for. Overall, we’re embarking on an exciting journey to reclaim our position as the global innovation leader in consumer robots for the home and beyond. We are a consumer products company that is backed by technology and serves a purpose for consumers around the world. We operate in a sizable global segment that has the potential for value expansion. This is demonstrated by the growth in multiple functional cleaning devices in our European market. As the category creator and innovator, we plan to lead and drive the global value expansion with new products. Our products enable our consumers to have more free time to enjoy their lives. We are working tirelessly to delight our consumers with every aspect of their Roomba experience. This includes opening the box, starting the robot for the first time, the initial cleaning experience and using the app. Our plans include rebuilding our mobile app and delivering a new and improved user experience for our consumers. We have a lot of work in front of us to reduce unproductive costs and become a more agile business. We will continue to make the difficult, but necessary decisions to ensure that we will reduce our operating and cash flow losses and have line of sight to achieve positive operating income and cash flow from operations over time. Our near-term goal is to stabilize the business, improve the balance sheet and launch new products that set us on a path to revenue growth. I am confident in our turnaround plan, pleased with our early returns and energized by our future potential. Turnarounds are challenging, take time, energy and commitment. I have done it before, and I plan to do it again. I look forward to sharing updates with you on future calls. With that, I will turn the call over to Julie.
Julie Zeiler: Thank you Gary. Hello everyone. As David noted, my review of our financial results and outlook will be done on a non-GAAP basis. Unless otherwise noted, each mention of gross margin, operating expense, operating loss, operating margin and net loss per share will mean the corresponding non-GAAP metric. As Gary mentioned, our Q2 results reflected a more challenging consumer spending environment, heightened competition in our market segment and a greater than expected foreign currency impact. Second quarter 2024 revenue came in at the low end of our guidance range and totaled $166.4 million compared with $236.6 million in Q2 of 2023. Geographically, in the second quarter revenue declined 36% in the US, 35% in Japan and 22% in EMEA. Our Japan results reflect continued weakness in the yen against the dollar. Excluding the unfavorable foreign currency impact, Japan revenue decreased 28% over the prior year period. From a product mix perspective, two-in-one products represented 51% of total robot sales in Q2. Accessory revenue in the quarter grew 13% over the prior year and represented approximately 11% of total revenue. Revenue from mid-tier robots, with an MSRP between $300 and $499 and premium robots with an MSRP of $500 or more represented 76% of total robot sales compared with 84% in the year ago period, reflecting the Q1 introduction of the Roomba Combo Essential, which provides the iRobot 2-in-1 cleaning experience at a lower price point. Our second quarter direct-to-consumer, or D2C sales, declined 6% from the year ago period, with 2% growth in North America and EMEA, offset by a 21% decline in Japan or a decline of 14%, excluding the currency impact. In the second quarter, our D2C revenue represented 23% of total revenue. Our Q2 results include a non-recurring $18.4 million charge for the write-off of excess component inventory and the losses on noncancelable purchase commitments. This manufacturing transition charge is entirely included in cost of product revenue and is due to the transition to the new product development paradigm with our contract manufacturers as well as changes to our 2025 product road map. As a result of the manufacturing transition charge, which impacted gross margin by 11.1 percentage points, Q2 gross margin was 16.7% compared with 24.6% in Q1 of 2024 and 23.2% in Q2 of 2023. I'll note that this charge obscures the significant progress we made and continue to make in reducing cost of product revenue. Excluding the impact from the manufacturing transition charge, which is a one-time charge taken in Q2 of 2024, we are on track with our gross margin improvement plan, which is driven by new products with a better cost profile, as well as cost reductions on existing products. Operating expenses for Q2 2024 totaled $75.9 million compared with $105.4 million in the year ago period, representing a year-over-year decline of 28%. This decrease primarily reflects the impact of our aggressive restructuring plans and disciplined spending during the quarter. The key drivers of the reduction were people-related spending across all functions, associated with the previously announced restructuring efforts, reduced marketing spend, a more disciplined approach to demand generation and a continued focus on efficiencies across the organization. Q2 GAAP results include an $8.2 million charge related to our restructuring plan, primarily for severance and related costs. Regarding expenses, I want to provide a quick update on where we are with respect to our full year production goals for R&D, sales and marketing and headcount that we set out on our Q4 call in February of this year. In the first six months of the year, we have made significant progress in improving our cost structure, including reducing operating expenses by $52.8 million. We reduced R&D expenses by $18.7 million compared with a full year target of approximately $25 million. At the same time, we reduced overall sales and marketing expenses by $27 million, including $14.6 million in working marketing, compared with a full year target of $40 million, which included a decrease in working marketing of approximately $20 million. Lastly, we've reduced our workforce by 387 or 35% versus year-end 2023. This compares with an original target of 350 or 31%. Turning to operating loss. For Q2, we narrowed our operating loss to $48.2 million, compared with an operating loss of $50.5 million in the year ago period. When you consider that the operating loss number includes an $18.4 million manufacturing transition charge, you can see the progress we have made here. Second quarter non-operating expense was $8.6 million, reflecting interest expense and the impact of fair value accounting associated with our term loan. This was partially offset by interest income on cash balances. Our Q2 tax expense was $0.7 million and net loss per share of $1.96, which included $0.63 per share for the manufacturing transition charge. We ended Q2 with $108.5 million in cash and cash equivalents, a sequential decline of $9.8 million from the end of Q1. Restricted cash totaled $41.9 million, with $40.5 million set aside for future repayment of the term-loan and subject to limited rights for inventory purchases in the third quarters of fiscal 2024 and 2025. In Q2, our cash outflow from operations was $21.7 million compared with a cash inflow from operations of $1.4 million in Q1 of this year. As disclosed in our Q1 2024 call, Q1 2024 cash flow from operations benefited from the onetime net proceeds of $75 million from the Amazon termination fee. Excluding the Amazon termination fee received in Q1, we improved cash flow from operations by $52 million sequentially. Second quarter DSO was 37 days compared with 28 days in the year ago period, due primarily to customer mix. Our quarter end inventory balance was $101.4 million or 67 days and reflects our continued focus on carefully managing inventory balances and the impact of the manufacturing transition charge. As discussed on our Q1 call, we filed a shelf S-3 registration statement in February to discuss -- to enhance our liquidity and provide capital planning flexibility. The shelf offering includes an at-the-market, or ATM offering program for the sale of the company's common stock. During the second quarter, we sold 1.1 million shares for total net proceeds of $12.3 million. As of the end of Q2, we had $81.1 million remaining under the ATM program. Careful cash management of our working -- and our working capital efficiency remains a priority, and we have continued to make progress in managing our key working capital levers. Turning to our outlook. We are introducing our third quarter outlook and revising our full year. For Q3, we expect revenue in the range of $217 million to $223 million and gross margin in the range of 33% to 34%. Operating income is expected to be in the range of $7 million to $10 million and net loss per share is expected to be in the range of $0.11 to $0.01 per share. Due to persistent foreign currency headwinds and consumer market softness, we are updating the full year revenue outlook that we provided on May 7. Regarding full year gross margin, operating loss and net loss per share, our revised outlook primarily reflects the impact of the non-recurring $18.4 million manufacturing transition charge recorded in Q2. For full year 2024, we expect revenue to be in the range of $765 million to $800 million and gross margin in the range of 28% to 29%. In order to meet our original full year goals for operating loss and net loss per share that we provided on our first quarter call on May 7, we are now targeting full year operating expenses in the range of $291 million to $295 million or approximately 37% to 38% of revenue. The anticipated decrease from full year 2023 primarily reflects previously announced efforts to align our cost structure more closely with near-term revenue expectations, along with further actions to optimize the organizational structure, reduce inefficiencies and minimize discretionary spending. We anticipate full year operating margin of approximately negative 8% to negative 10%, with an operating profit in the second half of 2024. We continue to make progress in improving our cash flow from operations and expect to generate modest positive cash flow from operations during the second half of the year. In terms of other notable modeling assumptions for 2024, we anticipate other expense of around $30 million including approximately $14 million in net cash interest expense and $15 million in estimated fair value adjustments associated with our term loan and full year tax expense of approximately $3 million, driven by our foreign jurisdiction. We anticipate a share count of approximately 29.5 million shares, exclusive of any additional issuances under our ATM. As a result we expect a full year net loss per share in the range of $3.77 to $3.31. Our business remains minimally capital-intensive, and we now expect full year capital spending to be approximately $2 million. As a reminder, we manage our business on a full year basis and encourage our investors to focus on our annual targets, given that the timing of orders is challenging to forecast even under ideal conditions. Large orders that shift from one quarter to the next can cause material fluctuations in our quarterly growth rates and cash flow performance. Additionally, our revenue expectations for the remainder of the year contemplate a euro exchange rate of 1.1 and a Japanese yen exchange rate of 153 to 156 based on a Reuters FX poll. Before I turn the call back over to Gary, I want to mention that we will be participating in Needham's 13th Annual Virtual Industrial Tech Robotics and Clean Tech One-on-One Conference on Monday, August 19. We hope you can join us. Gary?
Gary Cohen: Thank you, Julie. We are delivering our commitments to increase product margins, reduce operating expenses and improve cash flow from operations. Our restructuring plan is on track. The execution of our Elevate strategy gives us confidence that we can return to growth. Elevate is focused on financial improvement, consumer and brand building, new product innovation, operational improvements and talent management. Before opening the call up for questions, I want to acknowledge and thank our dedicated and talented employees who are working harder than ever to support our ambitious objectives. Our employees are passionate about what they do and our mission, and they have a strong affinity for the brand and our company and our unique and innovative culture. I am so proud of our people and know that together, we can accomplish great things. In closing, we are mindful of the market and operational challenges ahead, and believe our actions will elevate iRobot's overall performance and ultimately generate long-term growth and shareholder value. We will now open the call to questions. Operator, please go ahead.
Operator: [Operator Instructions] Our first question is coming from Mike Latimore with Northland Capital Markets.
Mike Latimore: Hi, thanks. Good morning. Thank you. I guess on the -- part of the strategy, I think this year was to kind of reinvigorate your channel, retail customer base, and then maybe, I would think, add another few retailers or channel partners. Can you just kind of provide an update on what you're thinking in that regard?
Gary Cohen: Yes, sure, Mike. We have a lot of points of distribution, and we are actively engaged with customers, some of who left during the Amazon transition. And we have active conversations, and we are working with them on their planogram timing and resets. So we're very optimistic about the product line launches that we talked about, and that will get us healthy discussions in the distribution that we're expecting.
Mike Latimore: Great. And it sounds like you're -- you indicated that in 2025, you'll have a fairly significant product portfolio update. Can you give us just some color around the thinking there? I know you can't sort of -- you can't sort of pre-release these things, but what would be some enhancements you might see in a new product set?
Gary Cohen: We are very excited about the 2025 road map. We know that there are several price point areas that we have gaps in performance, and our aim is to fill those gaps with consumer appealing products in all of those segments. So we'll be focusing on channels and we'll be focusing on price points as we roll out the product line.
Mike Latimore: Great. And then just last question on -- maybe it is too early, but what do you think the gross margin of iRobot can be longer-term?
Julie Zeiler: Yes, Mike, this is Julie, and I stay here from you. We've talked over the last number of quarters about the work that we are doing to expand our gross margin. Our move to a new -- to rely more on the mature supply chains of our contract manufacturing partners and our new innovation paradigm with them has been something we've been working on for the last number of periods, and we are seeing encouraging results in the new products that we are bringing to market at a better cost profile, as well as continuing to take cost out of our existing products. So we -- as we look, and you can see in the expectations that we've given for our full year, we expect to expand our gross margins, and that will continue to be a focus of ours as we go forward.
Mike Latimore: Okay. Great. Thanks very much.
Julie Zeiler: Thank you.
Operator: And it appears we have no further questions at this time. I would like to hand the floor back over to Gary Cohen for any additional or closing remarks.
Gary Cohen: Thank you again for joining us today. I'm looking forward to meeting many of you at the Needham Conference on the 19th and in the coming weeks. Have a great day, everyone.
Operator: Thank you. This concludes our financial results conference call. You may disconnect at this time, and have a wonderful day. Goodbye.